Operator: Good day ladies and gentlemen and welcome to the Autobytel 2013 Fourth Quarter Financial Results Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference call is being recorded. I would now like to turn the call over to your host, Roger Pondel, Investor Relations for Autobytel. Please go ahead.
Roger Pondel: Thank you operator, and hello everyone. Welcome to Autobytel’s 2013 fourth quarter and year end conference call. Presenting today are Jeff Coats, President and Chief Executive Officer; and Curt DeWalt, Senior Vice President and Chief Financial Officer. Before I introduce Jeff, I would like to remind you that during today’s call, including the question-and-answer session, any projections and forward-looking statements made regarding future events or Autobytel’s future financial performance are covered by the Safe Harbor Statements contained in today’s press release, the slides accompanying this presentation and in the company’s public filings with the SEC. Actual events may differ materially from those forward-looking statements. Specifically, please refer to the company’s Form 10-K for the year ended December 31, 2012, which was filed prior to this call, as well as other filings made by Autobytel with the SEC from time-to-time. These filings identify factors that could cause results to differ materially from those forward-looking statements. I also would like to direct your attention to the press release distributed just prior to this call where Autobytel announced its intention to file a shelf-registration statement on Form S-3 with the Securities and Exchange Commission during the 2014 first quarter for the offer and sale of securities by the company. There are slide included with today’s presentation to help illustrate some of the points being made and discussed during the call. These slides can be accessed by clicking on the link in today’s press release or by visiting Autobytel’s website at www.autobytel.com, when there go to Investor Relations, and then click on Events and Presentations. Please note that during this call, management will be discussing EBITDA, adjusted cash, net income, adjusted cash net income per diluted share, and cash flow which are non-GAAP financial measures as defined by SEC Regulation G. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP measures are included in the slides and are posted on the company’s website. And with that, I will turn the call over to Jeff.
Jeff Coats: Thank you, Roger. Good afternoon everyone. We reported another strong quarter drawing revenue 22% over last year’s fourth quarter. Our 17% revenue growth for the full year readily eclipsed the approximate 9% growth in retail auto sales in the United States last year and we expect our growth to continue to outpace the market for U.S. retail auto sales for the foreseeable future. Subsequent to the end of the quarter, we further strengthened our business through the acquisition of AutoUSA. We believe the acquisition will significantly expand our core business and drive new growth opportunities. Combined with the acquisition of Advanced Mobile and the strategic investments we made in 2013, we feel very good about Autobytel’s future. Curt will provide a financial review of the quarter and then I will update you on our continued progress.
Curt DeWalt: Thank you, Jeff. We provided a few slides on our full year results, but majority of my comments today will focus on our fourth quarter results. On slide four, you’ll note the total growth of 22% to $20.7 million for 2013 fourth quarter, up from $16.9 million last year in consistent with typical seasonal patterns. Total revenues included $236,000 contribution from Advanced Mobile which we acquired in the third quarter of 2013. Automotive lead revenues increased 27% from last year’s fourth quarter with retail channel sales rising 16%, and wholesale channel sales growing by 36%, a solid showing all around. Moving now to slide five, you’ll see that we delivered nearly 1.4 million automotive leads during the fourth quarter of 2013, a 29% increase over last year. 73% of the leads we delivered to the wholesale channel customers and 27% to retail channel customers. We delivered $77,000 specialty finance leads during 2013 fourth quarter versus $79,000 last year. The decline was closed by ongoing marketplace by constraints. Advertising revenues were $722,000 for the 2013 fourth quarter versus $854,000 last year. The decline related in part to changes completed throughout the fourth quarter necessitated by the transition to Jumpstart. You’ll recall that Jumpstart has been -- has assumed Autobytel’s ad, sales, and service functions. We expect to see the initial real benefit of this relationship in the first and second quarters of 2014 once the transition is fully complete and all fiscal year campaigns are up and running. On slide eight, you’ll see the gross profit grew to $8.1 million for the 2013 fourth quarter, up from $6.4 million last year. Gross margin was 39.1% of total revenues for the most recent fourth quarter versus 37.8% of total revenues a year ago. We’re slightly short of our 40% margin target, primarily due to compliance with SEC regulations that took effect in October of 2013 under the Telephone Consumer Protection Act. This compliance had a short-term impact on our gross margins as our lead conversion rates were impacted while we optimize through the new process. By December, gross margins had returned to 40% as originally expected. As a result of our acquisition of AutoUSA, gross margin will be lower over the short-term. Historical gross margins for AutoUSA was in the mid-20% range and will likely take us several quarters to bring it closer to the Autobytel margin levels. Total operating expenses amounted to $7.2 million or 34.8% of total revenues for the 2013 fourth quarter compared with $6.1 million or 35.9% of total revenues for the same quarter last year. The increase as expected is primarily related to the additional operating expenses from the Advanced Mobile acquisition as well as additional headcount expenses to support business growth and included approximately $213,000 of acquisition related expenses. As you’ll see on slide nine, non-cash stock-based compensation totaled $148,000 compared with $202,000 for the 2012 fourth quarter. Depreciation and amortization was $347,000 versus $536,000 last year. Before I discuss net income, I’d like to describe the valuation allowance reversal which was taken in accordance with technical accounting guidance that positively impacted our bottom-line results. Because of the cumulative losses Autobytel incurred over the years, we maintained a full valuation allowance against our differed tax asset. Historically, we’ve been in a position of cumulative losses over the trailing 12 quarters. However, ending the third quarter of 2013, we had achieved a position of cumulative income over the trailing 12 quarters. As a result, we evaluate the need to maintain a release the valuation allowance. Based on our projections of future profitability, we determined that it was appropriate to release most of the valuation allowance in the fourth quarter, resulting in a one-time tax benefit of $35.5 million. We still have remained valuation allowance of $6.4 million, of which 1.6 million relates to State of California net operating losses that will likely expire unutilized and $4.8 million of related stock option deductions that will be realized in future years once the deductions have reduced income taxes payable. This reversal is a one-time benefit to our results and you should note that we will begin recognizing a book tax provision on our pretax income prospectively beginning the first quarter of 2014 and there will no impact to cash. Including this one-time benefit, net income totaled $36.1 million or $3.26 per diluted share for the fourth quarter of 2013, compared with $351,000 or $0.04 per diluted share for last year’s fourth quarter. Excluding the tax benefit, net income was $662,000 or $0.06 per diluted share. It is important to note that there will be -- there was approximately 23% more dilutive weighted average shares outstanding during the 2013 fourth quarter than in last year’s fourth quarter. The increase in share count related to a higher share price and the impact that had on our Cyber Ventures related veritable note and [points] outstanding. EBITDA totaled $1.2 million for the fourth quarter of 2013, up $1 million last year. Adjusted cash net income was $1.3 million or $0.12 per diluted share compared with $1.2 million or $0.13 per diluted share for last year’s fourth quarter. These measures will be important as we move forward given my comments on income taxes and the fact that we’ll be utilizing our NOLs to minimize actual cash taxes paid. Cash and cash equivalents balance grew to $18.9 million at the end of 2013, up from $15.3 million at the end of 2012. Effective October 1st, we had completed the acquisition of Advanced Mobile for initial consideration of $2.5 million plus the opportunity for the sellers to earn up to an additional $1.5 million in contingent payments based on certain performance metrics over a three-year period beginning January 1st, 2014. Cash provided by operations for the 2013 fourth quarter was $1.6 million compared with $1.4 million in the prior year. Detailed full year financial results can be found in the press release and the Form 10-K we issued and filed earlier this afternoon. Now, I’ll turn the call back to Jeff.
Jeff Coats: Thanks Curt. Although we recently held a conference that discussed our acquisition of AutoUSA, I’ll start today with a short update. The integration is well underway and on plan. We continue to believe that the acquisition will drive meaningful increase within our revenue and cash flow and that it will be accretive to our 2014 financial results. The acquisition significantly enhances our retail distribution network for selling leads, adding an incremental 1,400 net dealers. Our dealer services teams are working to further expand our dealer client base giving us a larger footprint through which to sell our high converting sales lead and other high value dealer products. We’re excited about the AutoUSA acquisition and believe it has made us an even more important player in the marketplace in addition to becoming a much larger player. As you can see on slide 10, AutoUSA had about $30 million in revenues last year with historical gross margins of about 25% to 27% and nearly $6 million in operating expenses. We expect 20% to 25% of AutoUSA revenue and corresponding cost will be eliminated due to inter-company transactions since we were the second largest suppliers of leads to AutoUSA before the acquisition. We also expect to meaningfully reduce AutoUSA’s operating expenses. We have a robust fleet of dealer and manufacturer products aimed at helping dealers sell more cars. Among these products is Autobytel Mobile formerly Advanced Mobile, which you can see on slide 11. This advanced platform will be the core of a wide array of mobile service Autobytel offers to its dealer and manufacturer customers and will also be available to consumers through Autobytel’s website. At the center of the platform is Autobytel’s unique TextShield product that offers dealers the ability to connect with consumers using text communication via a secure platform that protects the consumers’ privacy. In addition, Autobytel will offer dealers Mobile website designed to drive consumer engagement with dealers as well as Mobile Apps, Text Message Marketing, and ability for a consumer to send information to their mobile device using our Send2Phone product. We’re also enthusiastic about SaleMove shown on slide 12, the company in which we made a strategic investment in the third quarter. Autobytel is the exclusive provider to the automotive industry of SaleMove’s products for enhancing and redefining communications with consumers by improving the online car shopping experience. These products allow dealers to interact with consumers in real-time using live video, audio, text-based chat, or phone, basically whatever method is most comfortable for the consumer. SaleMove also allows dealers to provide a guided tour to consumers using the dealer’s website as a virtual showroom. Consumers are now doing more of their shopping online. In fact, the average consumer now physical visits only 1.9 automotive dealerships before purchasing a vehicle, which is down significantly from the historical average of 3.2 visits. As a result, a dealer’s virtual showroom is more important than ever and SaleMove makes certain that this virtual showroom is not left unattended. SaleMove’s products have been well received by the dealer community so far and are helping us attract new customers while also expanding our relationships with current customers. You will recall that last year we also made a strategic investment in AutoWeb, which is pay-per-click option driven automotive advertising marketplace. AutoWeb recently launched its new service and Autobytel became the first advertiser and publisher to use the platform to help us monetize traffic that had been under-monetized or essentially not monetized at all. We’re seeing some really meaningful early results from the program and believe this could be a healthy new revenue stream captured from existing traffic. AutoWeb is in the marketplace signing new automotive advertisers and publishers and is making significant headway with some well-known brand names. You’ll be hearing more about AutoWeb in the coming months. I’ll finish up with an update on our core auto leads business which continues perform very well. Lead volume grew a healthy 29% for the fourth quarter and surpassed 5.1 million leads for the full year, up 23% from last year. The fourth quarter is historically seasonally slower for our industry, yet lead volume remained seasonally solid throughout. With the AutoUSA acquisition which was completed in January of this year, dealer count is now approximately 5,000. As shown on slide 13, organic dealer count grew to more than 3,600 this quarter. AutoUSA’s dealer count typically churn more than ours, so we expect some fluctuation in the number over the months ahead as we work through all of the integration elements. As you’ll see on slide 14, we’re continuing to generate high converting sale leads. The leads we generate from Autobytel.com currently convert to sales on average at a rate of approximately 25% as validated by R.L. Polk. All leads internally generated by Autobytel currently convert to sales on average at a rate of approximately 18%. Again, I remind you that this data is based on a rolling three-month average and will fluctuate on a month-to-month and quarter-to-quarter basis. Our success over the past several quarters is directly correlated to the fact the leads continue to convert to sales at three times the estimated industry average. The auto market continues to provide opportunities for Autobytel. As you can see on slide 15, you can see ongoing improvement in the overall automotive market. For the month of January, SAAR was projected at approximately $13.1 million, which is up from $12.7 million in December. January U.S. Light Vehicle sales were up only 3% as severe winter weather affected purchases during the month. We did not believe, however, that this represents a fundamental change in the industry. In fact, the recent National Automobile Dealers Association Convention we attended was the most upbeat we’ve seen in about five years, with dealers showing continued optimism and expecting a good sales year in 2014. As I mentioned earlier, we expect to outcome U.S. retail auto sales for the foreseeable future. Based on current business trends, we estimate that 2014 first quarter organic revenue growth excluding the impact of the AutoUSA acquisition will be in the range of 18% to 22% as compared to the 2013 first quarter. Our ongoing business initiatives are summarized on slide 16. We continue to look for the right kind of strategic investments and acquisitions that could bolster our core leads business, broaden our technology footprint, or enhance our lead-gen activities among others. We remain quite enthusiastic about Autobytel’s future as we work to continue accelerating revenue and profit growth for our shareholders. Operator, we’re now ready to take questions.
Operator: (Operator instructions) Our first question comes from Sameet Sinha with B. Riley. Your line is open.
Sameet Sinha - B. Riley & Co., LLC: Yes, thank you very much. So, I mean -- Jeff in terms of Q1, pretty solid guidance that you’ve given there. What's -- how much would you say is a benefit from Jumpstart from AutoWeb to revenue growth rate? I’m just trying to get a sense of what's the rate of acceleration that we can expect from those smaller businesses?
Jeff Coats: I wouldn’t say there’s a big impact at all from Jumpstart in the first quarter. We were still working pretty heavily late in the fourth quarter to make the technology changes that were necessary for Jumpstart to take over our advertising. We won't have all of the new 2014 advertising programs up and running during the first quarter. A couple of the Japanese manufacturers don't really begin their new fiscal year until April the 1st. So, we’ll have some impact as a result of that. So, not a big benefit from Jumpstart in the first quarter. AutoWeb, there’s some benefit AutoWeb in the first quarter, but I would not say it’s a big impact as compared to what's going on. I mean what's really driving the revenue increase, Sameet, is continued improvements and lead volume, lead conversion, and really boost and built a wholesale and retail programs. So, core leads business is really driving it.
Sameet Sinha - B. Riley & Co., LLC: Okay. Now, in terms of the specialty finance leads, obviously that market has been under pressure for a while. What are your expectations? Do you think we -- this is something that we can -- we should expect steady state for the next couple of quarters; may be down a little bit or how should we model this particular business going forward?
Jeff Coats: As you know we have struggled with our finance leads business. There remain ongoing supply issues in that marketplace. There’s been a recent influx of even more poorer quality coming into that asset that everyone had to deal with. Having said that we do think it should be reasonably stable. We should remain reasonably flat for the few quarters. We’re continuing with our internal lead generation effort. We’ve done okay from a volume standpoint. We still don't have the margin where we wanted to be, but we’re still focused on it, we’re still working on it. So, we would expect some improvement hopefully later this year, but we’re still struggling with that business.
Sameet Sinha - B. Riley & Co., LLC: Now, in terms our AutoUSA, can you talk to us about the quality of leads there, I mean how does the close rates compare to your close rates? You spoke about gross margins, can you also talk about how much of the gross margin improvement will come from just better pricing or pricing going up to the levels that Autobytel charges versus other efficiencies?
Jeff Coats: Sure. Their close rate overall don't come up to the same levels that we see -- we do boost their close rates. Somewhat we were their second largest leads supplier, but I would remind you that AutoUSA is what's known as an aggregator in this industry. In other words, they bought 100% of all the leads. They turn around and sold. So, I would say we will be bringing the overall lead quality up. We will be working with their existing suppliers. They will improve the quality of the leads that we’re buying from them, maybe of whom we already from as well. We’re also working to improve the overall volumes. With regards to your question about pricing, interestingly enough, AutoUSA have done a good job of keeping their average selling price at retail in a good place. They never really cutthroat prices unlike certain other providers in the marketplace. Even if they provided invectives or discounts, they would bring their customers up to a more reasonable market rate. So, that's been one of the nice things that we came to realize as a result of our diligence and ultimately the acquisition. From a margin standpoint, I mean we’re, as you know, working to improve our pricing over time based upon our higher close rate than are generally available in the marketplace. So, some of our improvement of the gross margin there will come from that. Some of it will also come from pushing more of our own internally generated leads into those dealers now. We have a much larger retail -- direct retail footprint through which the do our lead generation. So, we expect to see some nice margin improvement as a result of that.
Sameet Sinha - B. Riley & Co., LLC: All right. You gave us guidance for organic revenue growth, how should we think about AutoUSA? I mean is it approximately $5 million or so in Q1 and then kind of grows up slightly from there?
Jeff Coats: You know Sameet, we’re not prepared to really talk about that yet. We’re still getting our arms around it. We believe -- we had a couple of comments in the earlier remarks. We will see some elimination as a result of the fact that we were a large -- the second largest supplier of leads to AutoUSA. So, we’re still working through those revenue elimination issues. Their dealers do churn at higher rate than our dealers do. The dealers churn rate historically in this industry has been 5 plus percent per month. They are still subject to levels like that, if not a bit higher. Our churn rate internally at Autobytel is down between 3% and 4%, actually closer to 3%. So, we’ve done a good job of getting our arms around that and reducing the churn in our dealer body. We’re working to apply a lot of the same methodologies to the AutoUSA side of the family now and so we do expect to get our arms around that. But until we do and it will take us a few months to accomplish that. Until we do, we’ll probably see some churn on the dealer side. So, we just want a little more time to really a get good feel for what it’s going to look like from that standpoint. I would say that it should at least be -- the revenue -- actually I will just stop there. Let me just stop there.
Sameet Sinha - B. Riley & Co., LLC: Okay. Just one final question. In terms of your operating expenses, can you remind us how should we be thinking about that over at AutoUSA?
Curt DeWalt: I’m sorry not -- but they had operating expenses in the neighborhood of $6 million a year. Obviously, as we transition through the process, there will synergies, but we’re not there yet. So, again, I think under the heading of what Jeff just said, we’re going to take a little bit of wait and see for the next few months and see exactly how it all shapes out.
Jeff Coats: But I will also add we’ll being them down significantly. We’ll bring them down by more than 30%.
Sameet Sinha - B. Riley & Co., LLC: Okay. Thank you very much.
Operator: (Operator instructions) Our next question comes from Eric Martinuzzi with Lake Street Capital Markets. Your line is open.
Eric Martinuzzi - Lake Street Capital Markets: Thank you. Curious to know on the lead-gen side and this will be a wholesale side, I assume a large part of that growth was your onboarding of the new OEM, what about the other OEMs kind of legacy OEMs, what were trends like there in Q4 and your expectations for Q1?
Jeff Coats: I would say our overall wholesale business remains extremely robust. It was extremely robust than the fourth quarter and it is certainly extremely robust than the first quarter thus far.
Eric Martinuzzi - Lake Street Capital Markets: Okay. And I know searching the Internet is not directly impacted by the weather, but what's the correct response to “hey, are you guys impacted by the cold weather hitting in Q1?”
Jeff Coats: You know certainly the retail end of the automotive industry was affected. Dealerships were closed because of storms or people just couldn’t get there. We’ve not really seen that impact at all in our revenue in the first quarter thus far.
Eric Martinuzzi - Lake Street Capital Markets: Okay.
Jeff Coats: And if anything it probably causes people to stay at home and go online and do whatever shopping or research they would do and we’ve certainly benefited from that.
Eric Martinuzzi - Lake Street Capital Markets: Okay. And then I also noticed you did a -- you had a shelf-filing, I’m curious to know if you can give us any more specifics there. Before you respond to that, can you just give us a picture of the pro forma balance sheet post the AutoUSA acquisition?
Jeff Coats: We did put out a press release that we plan to file an S-3. I’m told by my general counsel I can't really answer any other questions regarding that today. I’m sorry.
Eric Martinuzzi - Lake Street Capital Markets: And then where are we as far as pro forma balance here today. Based on the math I just did for your December 31, net cash looks to be about $10 million and you spend $10 million on AutoUSA -- I know you took on some debt or line of credit to do that. Where are we as if kind of January 31 balance sheet?
Curt DeWalt: Well, we’re still working through having the financials audited, but I think--
Jeff Coats: For AutoUSA.
Curt DeWalt: …for AutoUSA. But I think you’ll see in the 10-K, we do have some preliminary numbers as it relates to what we expect the AutoUSA transaction to look like. So, including the goodwill that was generated et cetera. So, I just refer you to the footnote in the 10-K for further explanation.
Eric Martinuzzi - Lake Street Capital Markets: Okay. Congrats on the quarter.
Curt DeWalt: Thank you.
Jeff Coats: Thank you.
Operator: Our next question comes from Jared Schramm with ROTH Capital Partners. Your line is open.
Jeff Coats: Hi Jared.
Jared Schramm - ROTH Capital Partners: Hi. Couple of quick questions to your -- any change in the competitive landscape since the AutoUSA acquisition? Has there been a behavioral shift in some of the people you see out there?
Jeff Coats: Not that we can identify at all. We have not noticed anything.
Jared Schramm - ROTH Capital Partners: And then you mentioned you expect about 25% of sales at AutoUSA to eliminated due to the fact you’re large supplier there. Is there potential that that could go down as you start to describe that with some of the quality and then you may be offset that by maybe some price hikes as you present a better offering to some -- to the end market?
Jeff Coats: I would not anticipate at this point that it would be any less than that.
Jared Schramm - ROTH Capital Partners: Okay. Any updates on the YouTube channels?
Jeff Coats: We -- it’s funny that you said that. We actually did not put the YouTube slide in -- can you give me that. Sorry, on second Jared. We’re at about 27 million views and we have over 800 videos on the YouTube channel thus far. And we should leave that slide in there every quarter.
Jared Schramm - ROTH Capital Partners: Sorry, didn’t me to cause trouble there. And then lastly with AutoUSA here, of the outstanding OEMs and dealers left in the market that would reasonably be a potential customer of yours, what percentage do you think to-date is Greenfield opportunity at this point in time?
Jeff Coats: From a wholesale standpoint, we do business to one extent or another I think with every manufacturer that has a wholesale program. There are, I don't know, a handful, a couple that we could potentially have bigger opportunities with based upon adjustments over time in the business rules under which they operate. From a retail standpoint, as a result of the acquisition, we got about 5,000 dealers. There are approximately 18,500 in the United States. We could easily see having perhaps as many as 9,000 or 10,000 on the program without having too much overlap in terms of looking at that. So, there’s still plenty of room from a retail side.
Jared Schramm - ROTH Capital Partners: Of that -- say you get to the 10,000, we’re assuming the remaining 8,000 will be -- dealers big too small to participate in any kind of program in a meaningful way?
Jeff Coats: Some would be -- it would be a little bit that, but a lot of it would be more overlapped in the major metropolitan areas where there’s -- I don't know, eight for 10 of the one of the major nine plays and it really only makes sense for us to have five or six of those, so we don't have too much overlap.
Jared Schramm - ROTH Capital Partners: Okay. That's it from me. Congrats on the quarter.
Jeff Coats: Thank you.
Operator: Thank you. I’d now like to turn the call back to Jeff Coats.
Jeff Coats: Thank you all for joining us today. As you can see, we remain extremely pleased with our progress and are quite upbeat about the future. I encourage you to listen to the replay of our presentation last week at the Stifel Technology, Internet & Media Conference in San Francisco which can be found on our website. Curt and I also look forward to speaking with many of you again soon and hopefully, to seeing you at the upcoming ROTH and B. Riley conferences at which we will be presenting. Thank you.